Operator: Ladies and gentlemen, thank you for standing by. I am Yota, your Chorus Call operator. Welcome, and thank you for joining the OTE conference call and live webcast to present and discuss the fourth quarter and full year 2024 financial results. [Operator Instructions] The conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Kostas Nebis, CEO, OTE Group; Mr. Babis Mazarakis, Chief Financial Officer; Mr. Panayiotis Gabrielides, Chief Marketing Officer, Consumer segment, OTE Group; and Mr. Evrikos Sarsentis, Head of IR and M&A. Mr. Nebis, you may now proceed.
Kostas Nebis: Thank you. So good morning or good afternoon to all. I'm pleased to be here with you today, and welcome you to OTE's Fourth Quarter and Full Year 2024 Results Call. 2024 has been a strong year for OTE marked by solid operational performance. We delivered on our strategic goals, reinforcing our leadership in the Greek telco market with sustained revenue growth and higher adjusted EBITDA after leases in Greece throughout the year and actually a slight acceleration in the fourth quarter. Once again, we fully strengthened our network leadership, significantly enhancing the customer experience while our fiber-to-the-home or 5G network remains on track. Recently, we were the first in Greece to launch FWA services based on 5G stand-alone network slicing capabilities. In mobile, we maintain our network leadership with 99% 5G coverage, making us one of only 3 global networks certified as Best in Test for 10 consecutive years. In the Fixed segment, in addition to achieving 140,000 record-high FTTH net adds during 2024, the new demand coupons introduced late November will accelerate the transition and stronger monetization of our fiber infrastructure during 2025. In Pay-TV, we secured sports content selling partnership boosting customer experience and driving Pay-TV growth, as highlighted in our strong TV Pay-TV trajectory in Q4, while we anticipate this to continue during 2025. In the B2B segment, we experienced substantial growth during last year on the back of our System Solutions business. This has been a key driver of our progress, actively supporting the digital transformation of Greece's economy and public sector services. We have intensified our efforts to reduce nonsale physical volumes across all channels, accelerate sales and customer care digitization and push forward with the transformation of our operating and production models. These initiatives are crucial to building a more efficient operating model, optimizing resources and delivering a more seamless digital experience for our customers. These achievements position us for sustained growth, ensuring that OTE remains at the forefront of technological advancement and innovation. Now looking ahead in 2025, I'm confident that we will continue to build on our strengths, aiming for accelerated growth in the coming years. We have formulated our strategic priorities to support this growth, transformation and differentiation in the market. While we should not underestimate possible competitive pressures ahead, we have strong weapons to face all challenges as we have been repeatedly proving in the Greek market. When it comes to our growth levers, Greece's low FTTH and pay TV penetration presents a major opportunity. Government-backed coupons with tangible benefits for the end customers will drive expansion and stronger monetization while the antipiracy legislation that was just adopted by the government, actually last week, will bring even more customers on legitimate Pay-TV subscriptions. Our FWA product lineup will also improve connectivity in fiber underserved areas, minimizing customer losses to alternative infrastructures like satellite or FMS. And we will continue with our positive trend in our mobile operations. Higher value prepaid offerings, pre-to-post migrations and mobile data monetization and liberalization in postpaid provide a lot of room for further growth. Our ICT projects pipeline remains strong for 2025, both domestically and internationally, while our beyond core services are differentiating our value proposition in the market while also contributing some growth to our revenues. We are aiming at progressively accelerating our growth; committed to providing superior customer experience; leading the way in gigabit networks; continue to drive the efficiency of our operations by leveraging the transformative power of technology, including data and AI technologies; as well as the global scale and strength of the telecom group, including the telecom brand, one of the most valuable brands globally, ranking first among telcos. With these strengths and aspirations, I'm confident in our ability to create increasing value for our shareholders. Before handing over to Babis for an overview of the fourth quarter, I would like to briefly address the shareholders' remuneration. In developing our proposal for this year, we had to assume that Romania will remain part of the group for the remainder of the year, and we have factored in the related estimated cash flow requirements. Should the Romanian mobile disposal is finalized and depending, of course, on the outcome, we will adjust the proposed amount for the shareholder remuneration accordingly. With that, I hand over to Babis.
Babis Mazarakis: Thank you, Kostas, and welcome to everyone on the call from me as well. Starting from where Kostas left off, I would like to delve a bit deeper into our guidance and the shareholders' remuneration. Our free cash flow projection for this year stands at €460 million and this figure incorporates the case in the worst-case scenario for Romania, since, as we speak now, there is no final conclusion of the disposal. Therefore, our projection includes no sale for 2025, which means that there will be a negative free cash flow impact and no proceeds from the sale. This would reverse the more positive outlook for Greece. However, if a sale finally succeeds and assuming the reasonable upside to the free cash flow of the group, then we can adjust our distribution either by increasing our proposed payout or as an extraordinary distribution. But we need to wait a bit more as we are in the middle of negotiations and approvals before having a clear review of the final outcome and its timing. We are raising our payout ratio this year from 95% to 98% to deliver €451 million remuneration, translating to €0.7216 dividend per share, €0.7216 dividend per share and €153 million for share buyback purchases. Now let's turn on the quarterly figures. On a group level, revenues were down nearly 3% as they were impacted mainly by low-margin revenues and base effect in Greece, while Romania continuing to face challenging operations. Adjusted EBITDA after leases was up 1%, driven by the 1.8% growth acceleration in our Greek operations. In Greece specifically, total revenues were down 1.4% in the quarter, primarily reflecting the drop in international wholesale, the low-margin revenues and the effect of the comparison base as several initiatives launched in late 2023 matured in the quarter. Excluding the impact from international wholesale, total revenues would be up by 0.7%. As a more notable development, our EBITDA increase accelerated to 1.8% growth this year -- this quarter, supported by cost efficiencies, marking an improvement compared to previous quarters. Retail fixed service revenues were down by 1.4%, a downward trend compared to previous quarters due to the anniversary effect of the elimination of the €1 e-bill discount implemented at the end of 2023, along with the ongoing pressure on legacy voice. Our Pay-TV operations, however, continued on the strong revenue growth trajectory, up 11%, as the content sharing agreement is now delivering the full benefits, driving both higher ARPU and higher customer base. Once again, customer additions were positive in the quarter at 15,000 building strong full year additions at 49,000. This positive momentum is set to continue and positively to accelerate following last week's parliamentary vote on the measures against piracy. Moving into our fiber-to-the-home service. We achieved another record quarter, adding 39,000 subscribers, bringing the total base to 394,000. This represents a 57% increase from the year earlier level. Our retail FTTH customers account now for 17% of our total broadband base, marking a significant potential for growth. As we highlighted in our release, in areas where our infrastructure is available, the expected penetration of our customers has already exceeded 40%. And that highlights the ongoing demand for high-quality connectivity services. While the 2 fiber-to-the-home coupons available from the government since last November, we expect an acceleration in customer migrations as we move into 2025. Supported by the wholesale agreement and ongoing deployment, we are seeing an increasing utilization of our infrastructure further driving its monetization. The utilization rate exceeded 26% by year-end, marking an increase of nearly 7 percentage points year-over-year. During the quarter, we made significant progress in the deployment of our fiber-to-the-home network, reaching 1.7 million homes passed and now set a higher target for this year 2025 at 2.1 million homes. The remaining part of fixed revenues, thus other revenues, were up 1.5% this quarter with revenues from System Solutions recording an increase of 1.1%. As anticipated and communicated in previous releases, there was a deceleration in terms this quarter since we are comparing with a particularly high base from last year. For the full year of 2024, System Solutions recorded a huge growth of 34%. On wholesale, revenues were down 14% in the quarter. This downturn compared to the previous quarter is due to the erratic nature of international wholesale revenues, while the national wholesale stream continues to be impacted as anticipated by the network buildup of our competitors and the ongoing decline in legacy services. Excluding the impact of the international part, wholesale revenues would be down in line with prior quarterly trends. However, our existing wholesale agreements allow us to partially mitigate the downside from this revenue stream. Now let's move on to our mobile operations, where we had another positive quarter in Greek Mobile, with service revenues increasing by 1.4%. Mobile remains on a positive trend with 2025 continuing to be promising. As Kostas mentioned, we have several growth enablers in the mobile segment that should help us maintain the positive momentum and accelerated beyond Q4 levels. We recently announced price initiatives in the prepaid segment set to begin soon mid-March or in our physical channels. Additionally, we continue to see strong migration from prepaid to postpaid. In Q4, through both conversions and customer acquisitions, we recorded net additions of 34,000 subscribers to our postpaid segment. We attribute our achievements to our market leadership in both network and service quality, which obviously have been recognized for several consecutive years. Data usage was once again up, reaching 15.3 gigabytes per user per month, a 21% year-on-year increase, while our 5G and 5G+ network has already reached 99% and 60% population coverage, respectively. Turning now to our operating expenses, where excluding depreciation and amortization and the one-offs in Greece, they dropped 2.5% in the quarter as we continue to focus on cost per demand. While some of the decrease is tied to the top line and direct costs, we saw significant savings in key areas such as personnel expenses, which ended the full year with a benefit of close to €20 million. Maintenance, marketing and several other cost lines were reduced this quarter more than offsetting the higher energy cost of approximately €7 million. Let me add the word on energy. As we have communicated sometimes in the past, this cost line has been a headwind in 2024, due to favorable past contracts, which were terminated at the end of 2023. However, for current year, we expect a tailwind. As a rough estimate, we could see savings of about €5 million in 2025 versus 2024. Adjusted EBITDA in Greece increased by 1.6% in the full year, maintaining a strong margin of 40% with an acceleration in the fourth quarter, which recorded a 1.8% growth. Our guidance released this morning reflects continued growth in Greece supported by the key driver that Kostas highlighted. We now expect around 2% adjusted EBITDA after leases growth increased for the total 2025. Finally, a few words in Romania. In Romania, starting from the sales process, we are proceeding with the negotiations as planned, working closely with all the world parties and the Romanian authorities. And we estimate that if it all goes well, then we could finalize towards the end of the first half. On the quarter, total revenues were down 17% in the quarter, reaching €64 million. Revenues are still impacted by mobile termination cuts and the highly competitive environment, while in the comparable quarter of 2023, we had approximately €5 million that was the latest revenue and refined revenue from the ICT services. Excluding the impact from MTR, the mobile termination rates and ICT, revenues would be down by approximately €6 million or 9.5%. As a result, Telekom Romania Mobile's adjusted EBITDA after leases was €1.4 million this quarter, reflecting the ongoing top line pressure, along with the effects from the new tax on revenues which was introduced in 2024. Note that in Q4, cash flow in Romania was impacted by a €33 million extraordinary tax charge for the period 2017 and 2021. Let's take a look now at the rest of the group items. Depreciation was up by 42.7% in the quarter, totally attributed to a €90 million impairment loss recognized in the quarter as a result of the impairment test performed for Telekom Romania Mobile. As for the cash flow statement, adjusted CapEx was down 13% in the fourth quarter, largely reflecting lower TV sports content payments reaching in total €600 million in the full year, in line with our guidance. For 2025, we will continue investing in our fiber networks, planning to pass as additionally 400,000 houses and we expect CapEx in the range of € 610 million to € 620 million. Free cash flow after leases was €101 million in the fourth quarter, reflecting the additional €33.5 million tax charges related to the Romanian Mobile tax audit, which was paid during the fourth quarter of 2024. For the full year, free cash flow totaled €444 million and adjusting for this extra one-off in Romania stood at €478 million, broadly in line with our initial guidance. Operator, now we are now available to provide any further clarification to the questions. Operator?
Operator: [Operator Instructions] The first question comes from the line of Karidis, John with Deutsche.
John Karidis: Thank you for giving us more clarity about what you want to do, Mr. Nebis. I wanted to ask questions around ultimately your at least around 2% EBITDA growth in Greece in 2025. So firstly, just a basic stuff. You said that the energy headwind was €7 million in the quarter. What was it for the full year? And given that you won't have it next year, but you'll still have personnel cost savings, will that help you quite significantly on the cost line?
Kostas Nebis: Thank you for the question. Indeed, as we explained, the energy bill in 2024 was much higher than 2023 because of, I repeat for one more time to be exactly clear, why it was high in 2024. In 2023, we had long-term contacts at the lower prices that ended in 2023. So then in 2024, we moved on to the current prices, where the total bill increased by almost € 20 million. That was the cost between '24 and '23. Obviously, now we have managed to renew our pricing for the energy. So as we said before, in 2025 versus 2024, we have a benefit of €5 million, i.e., the prices are lower in 2025, and they produce a saving versus '24 of €5 million. Obviously, that's not the only item in the cost lines. We enjoy the benefits of the personnel reduction. There are also other items that are reversionary driven and they eat up some of the savings. In total, we expect our indirect costs to go down by almost close to 0.02%, 0.03% year-on-year. And this is also something that, along with the improvement that we described in the top line, will fuel the 2% growth in EBITDA.
John Karidis: Okay. And then the second question -- I've got 3. So the second question, please. It relates to sort of retail fixed services. I didn't really expect the year -- such a significant year-on-year decline. And I know that there are lots of puts and takes here. And on the negative side, we have the voice headwinds. So what can you say to help us try and figure out how that revenue stream might proceed from here on, please?
Babis Mazarakis: Thanks for the question, John. Just let me start with Q4. Q4 is -- this year-over-year contraction is clearly attributed to the missing €1, e-bill discount termination, positive contribution that we have had up until Q3 '24. That was taken out back in Q3 '23, which was missing out of our Q4 results. This affected both fixed as well as mobile postpaid. Now when it comes to the outlook and just to give you a bit of a broader picture, let's start a bit with how we have been progressing in the fixed service revenue over the last couple of years. So we started off by contracting by 2% back in 2023. What we have managed to do during 2024 is to rationalize this contraction, actually closing more or less flattish, so 0.4% year-over-year. And what we are aiming to do in 2025, is turn into the positive territory. Now the levers are things that have already communicated, which some of them will mature progressively. Like, for example, the FTTH ongoing momentum. We have talked a lot about the coupons. You have not yet seen the coupons translated into our numbers because there was a late introduction with some procedural leases in the beginning. So the majority of the coupons have been coming in since the beginning of this year. This is one. The second thing is the Pay-TV ongoing growth momentum. We have seen both strong Q3 as well as Q4 and now also with the introduction of the new antipiracy law, administrative fees against the users, we expect that this momentum will continue during the year. And last but not least, I would like also to highlight this one. It is not yet reflected into our financials, but we have high expectations, is out of the fixed wireless access product, which we just introduced literally 1 month ago, which we are bringing into the market to address challenges that we have faced during last year, especially during the summer months, losing some customers in poor copper speeds, what we call underserved territories, areas in the country, towards alternative infrastructure, including both satellite as well as SMS. By introducing this product, we hope that we are going to manage better these customers until fiber is rolled out in their territories. So these are the levers. These are not new levers. We have already communicated them. So what we are expecting is progressively these levers to translate into a better fixed revenue development and to turn to positive territory during 2025.
John Karidis: That's great. And then very lastly, first of all, a plea. Would you consider to start publishing consensus full year forecasts going forward because that would be useful? But the question I had was about 3 months ago, the Chief Executive of United Group was kind enough to give investors her assessment of PPC's threat to Nova and she expanded on this quite significantly. So is it possible for you to give your assessment of PPC's threat to OTE, please?
Kostas Nebis: I mean it's a bit too early to comment on PPC. To be honest with you, the only thing that we have seen out of PPC is them introducing some pilot offerings on the retail front and addressing only a small fraction of the Greek territory. So it's very difficult for us to assess what the potential effect would be. I mean having said that, what we are ready to face is a competitor. We have faced new competitors in the past. I mean we play on our strengths. We have a comprehensive portfolio of services, which span from broadband into mobile, into Pay-TV, including ICT for the B2B. So we feel confident that any challenges will be properly addressed.
Operator: The next question comes from the line of Patrick, Maurice with Barclays.
Maurice Patrick: Yes, Maurice here from Barclays. A couple of questions on my side, please. Just if you could expand a bit more on the fixed wireless access proposition you have. If I understand your response to John's question, when you were talking about fixed wireless access, it seems to be taking on Starlink, I guess, when you talk about challenges from underserved territories. I'd be curious to understand if you see the fixed wireless access product being an alternative to copper or fiber. Or if it is just until if it gets there. And if you could talk a little bit about if you have been losing customers to Starlink, that would be helpful to quantify that. The second question on Romania. So if I understand correctly, your guidance for 2025 includes a full inclusion on Romania. It would be helpful to understand the extent to which Romania negatively impacted free cash flow in 2024 and the extent to which it negatively impacts your implied guidance for 2025.
Kostas Nebis: Okay, Patrick, let me take the first 1 around FWA. So to be very, very clear, FWA, we see as alternative technologies in parts of the country where we have still not rolled out with FTTH. So we call it a bridge technology predominantly or a temporary technology for a small fraction of the country that will never get FTTH. So this is the positioning. This is a strategic thinking behind this one. And yes, to a certain extent, it is also to address pressure that we have seen building up last year coming from the satellite front, including Starlink. As far as Romania is concerned, I'll hand over to Babis to take it.
Babis Mazarakis: Regarding Romania, again, for clarity, to make it 100% clear, our assumptions of what we have announced is that we keep Romania for the whole year because this is the current scenario. This means that there is a negative impact from Romania altogether, the free cash flow of roughly about €70, that's 70 and this is, obviously, if we don't sell the business. This is why we complemented our shareholder in relation of guidance with a clear statement. But obviously, if we sell the company in the midyear or somewhere in this quantum, then the impact will be much less, since we will not operate the company for the whole year. So this is the composition of the numbers. And it includes, as I said, the scenario that we keep Romania for the full year.
Maurice Patrick: If I could just -- sorry, if I could just follow up very quickly. So I asked about Romania in 2024 and '25. So would it be safe to assume you assume a similar minus €70 million drag in '25 guidance?
Babis Mazarakis: Yes.
Maurice Patrick: And just -- sorry, and just to come back on the Starlink point, could you quantify how many customers you think maybe you lost to Starlink and satellite providers last year?
Kostas Nebis: I mean, our estimation is that Starlink might have a customer base of roughly 50,000 customers as we speak. Of course, not all of them are coming from our losses. Some are coming from new setups, new apartments, especially in touristic areas that would never consider us. So it's difficult to say how much of it is coming from our customer base. But for sure, Starlink is eating up part of the potential broadband base. Hence, we needed to come up with a solution. But my guesstimate is around 30,000 customers, which is how far the coverage in the Greek market.
Operator: The next question comes from the line of Soni, Ajay with JPMorgan.
Ajay Soni: It's Ajay here from JPMorgan. My first question is on free cash flow. So you've guided -- your guidance implies relatively flat adjusted free cash flow. I think your guidance will comprise the EBITDA is about €30 million to €40 million higher, CapEx may be € 15 million higher. So what's driving the additional €20 million headwinds your cash flows compared with last year? The second question is just around the fiber coupon. You've said that you've seen take-up in 2025. What are you seeing in terms of the initial view from your customers? Are you seeing quite a lot of take-up? Is there still quite a lot of resistance to taking the coupon? Any color on that would be very helpful.
Babis Mazarakis: Let's take the free cash flow question. If I got your question correctly, it's about the movement in the overall free cash flow of Greece, right? So in the part. So the proposition stripping off Romania, there is an increase in the free cash flow -- underlying free cash flow of Greece, which is coming from the EBITDA growth. Obviously, since as we alluded to, the composition of the growth also comes from ICT revenues which is a business that is profitable, yet the collection period is a little bit longer than the mainstream business, the port business. Then this also could create some working capital effects, which probably eats up a small part of it. And then, as we said, the CapEx for next year, it's about the same. We foresee that CapEx maybe be a tad higher than where we ended up this year because of the massive rollout we do in the fiber to the home. So blending all them together, the 2% increase in the EBITDA is being translated to roughly about €10 million growth in the underlying free cash flow bridge.
Kostas Nebis: Ajay, and your question -- the second question was about coupons progress or something else? Did I get it right?
Ajay Soni: Yes. Just the initial color on -- any color you've got on how the coupons have been rolling out, how quickly customers are taking them up, that would be helpful.
Kostas Nebis: Okay. First of all, let me remind you that we are talking about a total number of coupons, which progressively will go up to 400,000, out of which 200,000 comes as part of the first tranche. So 200,000 coupons is up for grabs, I would say, during the course of 2025. So as I said before, we had a late start in last year, end of November. Hence, the majority of the momentum, we have seen that developing in the first weeks of this year. Just to give you some numbers, we have reached approximately 25,000 coupons as far as we are concerned, out of which 15,000, 16,000 have already been redeemed. And the remaining 10,000 are booked by customers, and we are expecting them to be redeemed. So what is also interesting is the weekly development. So we see that we have reached slightly more than 2,000 coupons consumed per week, which if you work out the math, it will take us to our fair share of this 200,000 that we are -- will be available during the course of 2025, just to give you some numbers.
Ajay Soni: That's very helpful. And can I just have a quick follow-up on the free cash flow? How do you expect some of these lines to evolve such as your income tax and your interest cost line, maybe your voluntary leave scheme as well? How do you expect this to evolve year-over-year? Just to help us kind of build that free cash flow bridge from last year.
Babis Mazarakis: Regarding interest, it's pretty stable because we don't have any, let's say, renewals or additions of debt in -- of gross debt in the year. So it will be broadly in line with the previous year. Since we -- all of our gross debt is on fixed rates, basically, at a better rate than what would have them be under floating regime. And for taxes, like tonight, we expect more or less taxes to be maybe €10 million to €20 million higher because -- around €10 million higher because of the higher taxable income. But this is a very rough estimate because we need to wait to see the whole year forecast on the tax expenses.
Operator: The next question is from the line of Kollias, Vasilis with Pantelakis Securities.
Vasilis Kollias: I have two questions. The first is related to the estimated ARPU gains within 2025 from coupon provided by the government, the aim to FTTH take-up. And I would like to add some more color on ARPU, just both from the coupon for FTTH and from 10 of agreement from cross-supply of sports content, the full impact of these results are estimated within 2025? And my second question is about the free cash flow growth. And I would like to ask how much Romania business erodes group free cash flow? And what is the estimated working capital hit from the increase in ICT given then the collections are slow?
Babis Mazarakis: Thank you, Vasilis, for the free cash flow questions. Specifically for Romania, I think we mentioned before that the estimated impact if we would keep Romania for the whole year because this is the underlying assumption in our release numbers, is around €70 million, 7-0, right? So that's one. And then year-on-year on the ICT, let's say, the total of the ICT business brings a working capital timing difference because this was the timing of about between €10 million and €15 million.
Kostas Nebis: Okay. And let me take the first question around the coupons. I mean, the total amount of € that come with a coupon is 200 per customer, out of which, a part goes to the connection fee, the setup fee and the remaining is broken down to 24 monthly installments. So this is just to give you an indication of what we expect out of its conversion. I'm not sure I understood the second question around content. Could you repeat this one?
Vasilis Kollias: Yes, of course. Given that many initiatives are taking into place, both from coupon you answered before. But I would like to ask your estimated any substantial ARPU gain from this agreement given that the piracy will be reduced substantially? This, coupled with some initiatives from the government to combat piracy through some legislation? Do you expect any ARPU gain from this? This is my question, given that the piracy is higher in sports content from Pay-TV programs.
Kostas Nebis: Got you. Okay. As far as the piracy is concerned and the whole idea behind this content-selling agreement was to incentivize effectively the users of pirated subscriptions to come back to the legitimate subscription at a reasonable price level. And this is what we have seen happening to some extent, following the commencement of this cooperation back in summer. So now what we are expecting to see, after the antipiracy law became stricter, like going after with the administrative fees towards the end user, is a bigger part of these customers to come back to the legitimate Pay-TV subscription. So this is not going to be a direct ARPU effect, more of a customer base build up. As far as the ARPU is concerned, what we have seen progressively, with the full effect in Q1 this year, you will see it once we will be announcing the results, is that once we introduce the Nova channel lineup into our Pay-TV proposition, we also topped up the monthly fee by € 3. So this is the only ARPU effect that we should expect to see out of the Pay-TV partnership. The rest should be increasing customer base.
Operator: The next question is from Memisoglu, Osman with Ambrosia Capital.
Osman Memisoglu: A few on my side, please. First on the wholesale agreement side, is it possible to give us an update on how these agreements are trending for you? Are you seeing pretty much as expected or better or worse? Any color there would be helpful. And also maybe too, if possible, to quantify this in 2024, what kind of burden did you have on revenues from the high-margin business? And what do you expect in '25? And finally, with regards to this, should we expect any regulatory actions this year? Maybe on the FTTH side, the regulators could do some changes there? And the second part is just a detail on VES outlook. Shall we assume similar charges for 2025 as well?
Kostas Nebis: Okay. Let me start with the wholesale agreement. So first of all, just to share some numbers with you. We are really pleased with the development as far as this wholesale agreement, the fiber wholesale agreement that we have signed during the course of the year. This is reflected also into the numbers. So back in 2024, we managed to have 60,000 fiber wholesale customers onto our infrastructure as part of this wholesale agreement, which compares to only 19,000 that we had a year ago. And if you would see also the quarterly development, we moved up from 9,000 in the first quarter to 14,000 to 16,000 and during the last quarter, we recorded a record-high net adds of 23,000. So it is clear that the wholesale agreement is progressing well. More and more customers are coming to our infrastructure. It is also reflected into the utilization improvement. And yes, going forward, we expect to see even bigger numbers in terms of net adds, moving closer to the 100,000 in '25 as compared to 60,000 in 2024. Just to give you a bit of a color. What is also important is that you should keep in mind so that out of every migration from copper to fiber on a wholesale level, we also generate a higher ARPU. So copper and FTTC customers moving to fiber is giving us roughly 10% higher ARPU. Now on the regulation front, yes, there are a number of developments on the regulation front. The bottom of lyric is one of them that we are expecting. We do not have something to comment other than we hope that any outcome will also be to the direction of pushing customers from copper to fiber and support us in our efforts to fiberize the country sooner rather than later. Babis, do you want to take the last one?
Babis Mazarakis: Yes. Just to quantify Osman's point here. I mean, in the past 2 years, we were losing about close to let's say, € 40 million every year on wholesale. And now this number is more or less stable, it's also being supported by what the cost as mentioned before, this migration from copper to fiber, where we gain this upside in the ARPU. So for modeling purposes, I think factoring in roughly the same amount, maybe a tad less, but roughly the same amount is very helpful.
Osman Memisoglu: The VES side, if it's possible to give any color for outlook?
Kostas Nebis: Which one? Say it again?
Osman Memisoglu: The VES charges, should we assume similar numbers for 2025?
Babis Mazarakis: Yes. The voluntary retirement schemes is something that is also repeated this year. You could expect roughly the same number in terms of investment.
Osman Memisoglu: And just a follow-up on the Romania part. I was a bit surprised to hear € 70 million. Is that -- has that picked up in '25? Or has that always been the case, that that's kind of the burden you have carried with you over the last few years?
Babis Mazarakis: Yes, it's the year that reflects the rather challenging environment, deterioration of the previous years. So assuming a full year of operations, should reflect the downward trend that we have in this business. So it's nothing magic there, just the evolution of the [indiscernible].
Operator: There are no further audio questions. I will now proceed with any retail questions from our webcast participants. We have a question from Piotr Raciborski with Wood & Co and I quote, "Do you expect to increase subscription or prepaid prices in 2025? Have any of your competitors in Greece changed their prices recently?"
Kostas Nebis: Okay. Let me take this one. I mean the only thing that I can comment is as far as what we have done already in the market and I think it was brought up by Babis in his introductory speech. So what we have decided to do recently is to introduce a higher top-up denomination in the prepaid segment, moving from € 13 to € 15 as far as the physical channels are concerned. We believe that this is an important move, first of all, to boost our prepaid revenues, at least for the ones who would still choose to top up in the physical channels, particularly importantly to facilitate the pre-to-post migration, which has been one of the strongest, I would say, growth pools in the mobile service revenue. Having said that, we still keep the € 13 top-up denomination for the digital channel. So customers would still have the option to choose a lower top-up denomination, but at the same time, also allow us to be more efficient when it comes to the money distribution channel. So helping customers that would choose the digital channel to stay on the € 13 voucher.
Operator: [Operator Instructions] Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to management for any closing comments. Thank you.
Kostas Nebis: Thanks a lot for your attention, questions and for your interest in OTE. We are looking forward to our next vetting and to updating you on our progress after the closing of the first quarter in this year. Thank you. Have a nice day.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling, and have a good evening.